Operator: Good day, ladies and gentlemen. Welcome to Vista Gold’s Second Quarter Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Today is Friday, July 27, 2018. It is now my pleasure to introduce Vista’s President and CEO and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Frederick Earnest: Thank you, Virgil. Good morning, ladies and gentlemen. Thank you for joining Vista Gold Corp’s 2018 Q2 financial results and corporate update conference call. I’m pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO; and also Connie Martinez, our Director of Investor Relations, both of whom are here with me in our corporate office. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed in or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I’ll now turn the time over to Jack Engele to discuss the financial results for the quarter.
John Engele: Thank you, Fred. Good morning, everyone. I’ll start with our balance sheet for June 30, 2018. Our working capital totaled approximately $16.9 million on June 30, 2018. This included cash and T-Bills of about $11.6 million. The company continues to be debt-free. Turning to your statement of income and loss for the quarter ended June 30, 2018. We reported a net loss of $1.9 million, or $0.02 a share for the quarter. This was comprised almost entirely of operating expenses. There was no change to the value of our investment in Midas Gold Corp. as of June 30, compared to the value as of March 31. Consequently, we had no mark-to-market gain or loss in the quarter. The main components of the $1.9 million operating expenses include about $700,000 of fixed-site management cost in Mt. Todd, about $800,000 of fixed corporate G&A costs, about $200,000 of discretionary programs at Mt. Todd, and about $200,000 in non-cash stock-based compensation depreciation. Q2 2018 fixed costs for both Mt. Todd and corporate administration trended marginally higher than our Q2 2017 fixed costs. The higher costs were mainly driven by increased exploration activity at Mt. Todd in Q2 2018 and ramping up our investor relations programs in Denver. Discretionary programs at Mt. Todd are lower in 2018 than in 2017, and several larger programs, including ore sorting studies, met testing and the PFS update were completed through the course of 2017. Looking ahead through 2018, as Fred will explain in a minute, we expect to complete additional crushing, ore sorting and grinding tests, as well as some geophysics and modest drilling programs on our ELs, our exploration licenses, particularly on the Wandi IOCG target. We’re also planning a drilling program in Quigleys, which we believe could be a future source of supplemental higher-grade mill feed. We expect our 2018 fixed costs at Mt. Todd in Australian dollar terms to trend 20% to 25% higher than our 2017 fixed costs due additional monitoring work associated with the EPBC authorization received in January of this year and our ongoing work to secure authorization of the mine management plan. Offsetting this, we expect our 2018 discretionary programs at Mt. Todd to trend 45% to 50% lower than our 2017 discretionary programs. Similarly, we expect 2018 corporate administration – administrative fixed costs to trend about 15% to 20% higher than our 2017 fixed costs, as we expect to continue our increased emphasis on investor relations programs through the remainder of the year. We have no corporate discretionary programs planned in 2018. We believe our existing working capital, together with potential future sources of non-dilutive financing, will be sufficient to fully fund our current planned fixed costs and discretionary programs into the year 2020. We continue to pursue non-dilutive financing opportunities, including the sale of our used mill equipment, the possible monetization of our royalty on the Awak Mas Gold project and future option payments for the Guadalupe de los Reyes project in Mexico. In addition, we continue to hold 7.8 million shares at Midas Gold. That concludes my comments. Over to you, Fred.
Frederick Earnest: Thank you, Jack. I would like to update you on some technical advancements at the Mt. Todd project. Since our last corporate update conference call, we have advanced metallurgical test work to further optimize the Mt. Todd project. The updated preliminary feasibility study results announced in January reported an estimated gold recovery of 86.4%, with a significant – which was a significant increase from the previously estimated recovery of 81.7%. This increase in recovery was the result of simulations of a two-stage grinding circuit. The material for that test work was prepared in two stages using laboratory scale ball mills. Since announcing the results, we have been able to send single-stage ground samples to both FLSmidth and Core Metallurgy for testing in machines that replicate the grinding action of the Vertimill and the ISAMill. You will recall that, we have selected ISAMills for the second stage of grinding at Mt. Todd. For those of you unfamiliar with this equipment, I will describe the differences and why is it – why it is important. Ball mills work on the basis of impact, the rotating shell picks up the ball mill charge and allows it to fall on the material to be grind. The Vertimill and the ISAMill mill are both referred to as stirred mills. They work on the principal of breaking particles in shear rather than by impact. The shell of both of these mills is static and discs or rods attached to a center shaft rotate to provide the energy for the grinding to occur. Due to the difference in the mechanics of grinding the particles, they produce different particle size distributions and consume different amounts of energy. Experts had advised us that we would see an increase in recovery due to the different particle size distribution. We have completed grinding tests stimulating the two different types of stirred mills and have completed leach tests. While we are waiting for the final assay results at this time, we can indicate that in general terms, the test produced a finer product size with less power consumption. Initially, this suggests that costs for operating the regrind circuit will be less than previously expected. An extensive amount of previous test work also indicates a strong correlation between finer grind size and higher gold recovery. We would encourage you to please stay tuned for an announcement of the results of the initial test work and subsequent test work with regards to recoveries. After taking time to further compile and evaluate available field data and correlate this to geophysical results, we are now ready to commence a small drilling program on the Mt. Todd exploration licenses and fulfillment of our work commitments on these exploration licenses. We plan to undertake a drilling program on – our drilling programs on both the Wandi and Golden Eye targets. We also are planning some infill drilling at the Quigley satellite deposit. And depending on results, we may complete some metallurgical tests as we move toward converting the resources in this deposit to reserves. Drilling should take place over the next six to eight weeks. Additionally, we continue to work with the Northern Territory Department for primary industries and resources in the review of our mine management plan, work mine operating permit as it would be called here in North America. Our objective is to continue to advance and favorably position Mt. Todd for development at the right time. We believe that the standalone development of large projects by small companies is risky, and this is not our plan. We’re focused on evaluating and executing on the best outcome for shareholders, including arrangements that would realize fair value of the Mt. Todd project and reduce the potential for and magnitude of future dilution for the Vista shareholders. In conclusion, our Mt. Todd gold project is the largest single deposit, undeveloped gold project in Australia. With 5.85 million ounces of proven and probable reserves, Vista controls the third largest reserve package in Australia. It is ideally located in the Northern Territory of Australia with paved roads to the site and other existing infrastructure, including power lines and natural gas pipeline, fresh water storage reservoir and tailings impoundment facility. We have achieved significant milestones, and now have in place the foundation for creating improved shareholder value. We have earned the trust of the local stakeholders, and we believe that our social license is firmly in hand. The updated preliminary feasibility study results are the outcome of technical improvements to the project. They are based on expensive technical testing. For more detailed information, I refer you to the Canadian National Instrument 43-101 report that was filed on SEDAR in March and is available for download. For a more comprehensive assessment of the value accorded to Vista and the Mt. Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. There, you will be reminded that we presently trade at approximately 0.1 times NAV of the project, compared to our peers’ trading in the range of 0.4 to 0.6 times NAV. This represents a significant opportunity for an increase in shareholder value. Mt. Todd is well advanced and technically de-risked gold project. All major permits are – all major environmental permits are in hand and an accomplishment attained by very few of our peers. It has the potential to be the fourth largest gold producer in Australia with lowest quartile cost. It is favored with easy access and excellent existing infrastructure, all in the mining-friendly jurisdiction of the Northern Territory. We believe that this adds up to an exceptional investment for the gold investor looking for good value, growth potential and leverage to the gold price. This concludes our call. We will now respond to any questions from participants on the call.
Operator: [Operator Instructions] Your first question comes from the line of Heiko Ihle from H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey, guys, thanks for taking my questions.
Frederick Earnest: Good morning, Heiko.
Heiko Ihle: Good morning. Hey, I sort of hit at this in the past, but it’s even more prevalent now. I mean, Midas Gold shares has done phenomenal in 2018. I mean, there are 40%-some year-to-date. And I was owned for a few and you still own the same 7.8 million shares, so they’re currently valued at over $5 million. Is this still sort of a sacred cow, if you don’t want to sell, or at the right price, would you be willing to sell some in the current market environment? And if the answer is no, what price would you be willing to look at divesting some of those?
Frederick Earnest: Well, certainly, Heiko, that’s a very valid question. You know from past conversations with us that we don’t try to teletype strategic decision. So like the one that you’re trying to get an answer to, we have also been watchful of the improvement in Midas share price. The markets being a little bit softer right now, where we continue to watch. We are not averse to a sale at the appropriate price and view that as one of the sources of potential additional financing at some point in time in the future, given the fulfillment of a lot of conditions that certainly you will appreciate that we’re not very anxious to talk about.
Heiko Ihle: Fair. I think, you will like to talk about the second question a little bit more. As you know, I like and respect the fact that you guys run so lean. Your G&A is one of the lowest in our whole coverage universe, in fact. That said, it was $775,000 in Q2 2017. It’s $888,000 in Q2 2018. The difference is even more sore, if you look at it year-to-date. Year-to-date, it’s $2.3 million, up from $1.8 million, that’s a 29% increase. Earlier you mentioned some investor relations work that you’re doing. But I mean, does that really account for a $500,000 change in six months, we did the $1 million annual run rate?
Frederick Earnest: So I think, there’s a couple of components there. There was – as Jack pointed out in his commentary, that there was – on a year-to-date basis, the Board made the decision to pay cash bonuses in January of this year based on the results of the preliminary – the update of the preliminary feasibility study that was delivered in January of this year. Obviously, that was an exceptional payment that drove up our G&A costs on a year basis. And we certainly are doing more in the area of investor relations. We are participating in more conferences. We are – we’ve undertaken to become more involved in other forms of media, trying to reach out to those who did not get their investor information from traditional sources. We’ve done some video recordings, some podcast and things like that. And we’re also involved in some other activities looking toward and looking toward the future changes and the structure of our organization, which will become apparent in the next four to six months that it required some amounts of investment at this point in time as well. Jack, is there…
Heiko Ihle: Very clear.
John Engele: Related to the updated PFS as well, Heiko, we had inordinately high legal regulatory type costs through the course of Q1 higher than in 2017, for example, because we didn’t have anything like that in Q1 of 2017.
Heiko Ihle: Okay, fair enough.
Frederick Earnest: Okay.
Heiko Ihle: Thank you, guys.
Frederick Earnest: Anything else, Heiko? No?
Heiko Ihle: No, that’s all in the mind. Thank you.
Frederick Earnest: Okay. Have a great day.
Operator: You have no further questions at this time. I will turn the call back over to presenters for closing remarks.
Frederick Earnest: Very good. Thank you, Virgil. We, once again, would like to thank everyone for their time and their participation in the call this morning. We find ourselves in a very interesting gold price market. We continue to, as Heiko very, very elegantly pointed out, seek to manage the company in a very lean fashion. We do find ourselves faced with certain expenses that are in many ways inevitable and we address those. We are working to make another round of significant improvements in the Mt. Todd project, as indicated in the text of our comments. We encourage you to watch for news in the coming weeks. I think, that as we have the final results of the essays that, I think, that each of you’ll understand the important – the importance of the work that’s been completed and there’ll be discussion in those announcements about our plans to be able undertake further testing and to be able to establish these results to the point that we will be able to contemplate an update of the PFS, if we so choose. But certainly, we will comment on the potential impact through the economics of the project and we’re very excited about that as we go forward. So again, we thank you for your interest and your time in the call this morning. And we wish you all a very pleasant and a very good day.
Operator: This concludes today’s call, and you may now disconnect.